Operator: Welcome to Sleep Number's Q2 2022 Earnings Conference Call. All lines have been placed in a listen-only mode until the question-and-answer session. Today's call is being recorded. If anyone has any objections, you may disconnect at this time. I would like to introduce Dave Schwantes, Vice President of Finance, Investor Relations. Thank you. You may begin.
David Schwantes: Good afternoon, and welcome to the Sleep Number Corporation second quarter 2022 earnings conference call. Thank you for joining us. I am Dave Schwantes, Vice President of Finance and Investor Relations. With me today are Shelly Ibach, our President and CEO; and David Callen, our Chief Financial Officer. This telephone conference is being recorded and will be available on our website at sleepnumber.com. Please refer to the details in our news release to access the replay. Please also refer to our news release for a reconciliation of certain non-GAAP financial measures and supplemental financial information included in the news release or that may be discussed on this call. The primary purpose of this call is to discuss the results of the fiscal period just ended. However, our commentary and responses to your questions may include certain forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties outlined in our earnings news release and discussed in some detail in our annual report on Form 10-K and other periodic filings with the SEC. The company's actual future results may vary materially. I will now turn the call over to Shelly for her comments.
Shelly Ibach: Good afternoon, and thank you for joining our earnings call today. My SleepIQ score was 80 last night. As we operate in a global business climate that is unpredictable and economically challenged, our mission and purpose provide the clear path to deliver long-term superior value creation for all stakeholders. Overall, consumer sentiment in Sleep Number demand continue to be highly correlated. Economic conditions for consumers have deteriorated throughout the year. The annual inflation rate accelerated to more than 9% in June, the highest level since 1981. And nearly half of US consumers now say that inflation is eroding their standard of living. Consumer sentiment plummeted to record low levels in May and June, with declines across all demographic segments. Correspondingly our demand for the second quarter declined 12% versus the prior year. Our performance during the second quarter reflects our team's incredible agility in navigating the challenges of operating in this business climate. As we discussed on our Q1 earnings call, the composition of our excess backlog was heavily skewed to the high end of our line. As a result, during the second quarter, our delivered smart bed units represented a stronger-than-average profit profile. Net sales in the quarter grew 13% to $549 million as we benefited from servicing a portion of our profitable excess backlog, while being, again, constrained by new delays in electronic components and weaker demand. Q2 net operating profit was $50 million, up 68% from 2021. Net operating profit rate was 9.1%, up 300 basis points from a year ago, during what is historically our softest financial quarter. Second quarter earnings per diluted share were a $1.54, a 75% increase compared with $0.88 a year ago, and trailing 12 month ROIC was 21.8%. External business conditions worsened in the second quarter and the global environment remains fraught with ongoing challenges, including record low consumer sentiment, measurably weaker consumer demand, higher input cost and disruptions in semiconductor chips flow. These pressures are reflected in our updated 2022 EPS outlook of $3 to $4. Assumptions include unchanged consumer sentiment and timely electronic supply allocation and flow to support our planned deliveries in the second half. We remain focused on maintaining a strong liquidity position and preserving our financial flexibility as we prioritize advancement in our long-term strategy. Accordingly, we have removed more than $100 million of annualized cost compared to our original expectations and are taking pricing actions as appropriate. We have built a strong foundation of life-changing sleep innovations and sustained connectivity with our customers. As we move forward, we expect to benefit from continued innovation advancements and differentiation. Our smart bed platform with 15 billion hours of longitudinal data, the ongoing engagement of millions of smart sleepers and our vertically integrated exclusive direct to consumer business model with robust cash flow generation. We continue to progress our strategic initiatives through investments that strengthen our competitive advantages, while being prepared for a range of macro environments. Today, I'll provide an update on the actions we are taking to generate demand, sustain our strong brand health and manage continued supply chain dynamics. Supporting all our actions is our team's capability and capacity to quickly adapt, while continuing to prioritize our customers' experience and the progression of our strategic initiatives. Demand driving actions include adjusting our messaging, spending and selling approach to drive conversion among a smaller audience of consumers who are ready to buy now. We are leveraging content that directly links health and wellness benefits to proven quality sleep from three -- from our 360 smart beds. Specifically, our smart sleepers benefit from 28 minutes of more restful sleep per night and science proves the quality sleep is vital. It enhances our mental, physical and emotional health. We are also leaning into the effectiveness of our NFL partnership as their official sleep and wellness partner and we are optimizing media mix and value solutions for the current business climate. We also continue to advance our life changing innovations. The Climate360 smart bed to be introduced in October is designed to help reduce core body temperature throughout the night to deepen your sleep. Nearly 80% of Americans report being too hot or too cold when they sleep. First, this innovative smart bed gently warms your feet to help you fall asleep faster. Then it uses ambient air to create a personalized microclimate that works with your body's natural sleep cycles. Sleep Number initial in-home test results show 90% of Climate360 smart bed sleepers are now sleeping at a comfortable temperature. Importantly, with Climate360 we are also implementing our new smart bed platform with technology that supports our entire new portfolio in 2023. This platform design requires fewer SKUs and electronic components and users newer, more readily available semiconductor chips. As we transition to the smart bed platform in 2023, we expect to restore our full assortment of smart bases and improve availability of our smart beds. Sleep Number's brand interest and consideration remain healthy in this challenging environment. Our June brand tracker survey results highlight that there are a record number of intenders in the market looking to buy a mattress in the next 12 months, with more than half seeking a premium solution. Yet, there is a reduced number of consumers who are ready to buy now. Sleep Number continues to lead other brands and innovation, sleep science and research which broadens our relevance. In fact, our unaided awareness is stronger than a year ago and our brand affinity, measures of quality, trust, value and aspirational fit have all increased. Our brand health and new innovations support strong growth potential as sentiment recovers, and we will continue to position ourselves to win with the consumer. Meanwhile, global supply chain constraints and disruption in the flow of electronic components persist and costs have increased. For the second quarter, our electronics supply quantities were largely in line with expected allocations. Though, the timing was later than anticipated due to unexpected disruptions from suppliers pandemic closures in Asia with related labor shortages. While our team pivots quickly and effectively when faced with these supply issues, the disruptions impact customers delivery experiences and increase short-term cost. In addition, our teams continue to overcome potential shortages and find solutions with real time agility across our business, including developing, qualifying and producing alternative parts to reduce impacts. And we are encouraged by the expected availability of electronics supply with our new platform beginning with Climate360 later this year. We also continue to advance digitization across our operations for rapid recovery, efficiency and effectiveness. We are making strategic investments to strengthen our supply chain flexibility, resilience and responsiveness. The flow of goods from suppliers through our assembly and distribution for holistic management of scarce resources represents a fundamental long-term opportunity and advantage for Sleep Number's business model. We are on track to complete our multi-year initiative to 100% pre-assembled smart beds by the end of the year. Our purpose to improve the health and well-being of society through higher quality sleep, combined with our culture of individuality and well-being drive team member engagement, commitment and effort. Our teams are adapting and innovating as they execute our pivots to overcome the challenges associated with this macro environment. Their courage and dedication to our mission has enabled us to navigate the current uncertainty in business disruption with speed and agility, while continuing to advance our long-term strategic and financial initiatives. While this business environment is challenging, our prospects remain compelling. The power of our purpose, life changing sleep innovations, connected smart sleepers and vertically integrated business model position us to capitalize on profitable opportunities when consumer sentiment improves and electronics supply recovers. Now, David will provide additional detail on the second quarter and outlook for the remainder of the year.
David Callen: Thank you, Shelly. As Shelly highlighted, we are navigating challenges on three fronts: record low consumer sentiment; disruptive timing of electronics supply; and cost pressures from inflation and supply constrained inefficiencies. We are taking prompt mitigating actions on all three fronts. As a result, we have revised our 2022 earnings guidance to $3 to $4 per share. Consumer sentiment dropped materially since our last call. The timing of electronic supply receipts continues to prevent level loading operations and optimal smart bed delivery volumes. And fulfillment costs, arising from the inefficient flow of electronics continue to pressure profits. Our teams are taking actions to mitigate these challenges. In addition to the demand driving initiatives Shelly highlighted, other actions include: cutting more than $100 million of planned costs with line of sight for more reductions if warranted; suspended share repurchases after acquiring just $12.6 million in Q2 with no repurchases planned for Q3; narrowed our 2022 capital spending projects by $10 million to approximately $70 million; negotiated and extended a more favorable contract with our partner Synchrony to serve our customers and contain financing costs through 2028. Taking another targeted price increase in early August, worth about $30 million annually resulting in total annualized pricing actions of approximately $180 million. Rapidly tested, qualified and implemented another electronic component to replace an at risk part and are diligently working to pull forward sleep innovations which will bolster demand and reduced supply risks with their 30% fewer components and more available technology. Before reviewing details of our Q2 financials, please recall that imbalanced electronics flow significantly constrained deliveries in Q4 last year and, again, in the first quarter this year. As a result, the excess backlog at the beginning of 2022 grew from about $150 million to approximately $200 million at the end of the first quarter. Recall too that the Q1 backlog was unusually rich with a very high mix of our most profitable smart beds awaiting the arrival of semiconductor chips for our FlexFit adjustable bases. That rich mix flowed through deliveries in Q2, resulting in delivered net sales of $549 million, up 13% versus the prior year, despite 12% lower demand in electronics supply constraints. The high mix of our most profitable smart beds resulted in a 27% year-over-year increase in ARU to $6,485. However, June smart bed deliveries were constrained by softer demand and another COVID shift delay from China. These pressures resulted in 11% fewer smart bed deliveries during the quarter than in the prior year Q2. At the end of the second quarter, our net sales equivalent, excess backlog is approximately $110 million with a more normal ARU profile, providing a continued mitigant against demand headwinds. The delivery of high ARU smart beds led to a Q2 gross margin of 59.2%, up 190 basis points sequentially from Q1. This improvement was despite inefficiencies caused by the uneven flow of electronics, and 10,000 to 15,000 fewer deliveries than expected. Year-to-date gross margin of 58.3% is a cleaner reflection of current business dynamics. It is 330 basis points below the prior year, largely due to approximately $160 million of annualized cost inflation, inefficiencies from ongoing uneven electronics flow and constrained deliveries. We have partly offset these pressures with four pricing actions since Q3 last year and a fifth action next month. We continue to believe that about 30% of current cost pressures are temporary, and will reverse as global supply chains normalize in 2023 and beyond. Given the continued inefficiencies from uneven flow of electronics, we now expect gross margin in the back half to be in line with the first half, though pressured more in Q3 than Q4. I'll provide more details on that in a moment. Our Q2 net operating profit rate of 9.1% also reflects the flow of highly profitable deliveries in the quarter and our cost containment actions. The more than $100 million of cost cuts we have taken include variable cost components primarily in retail and marketing, slowing of lower priority initiatives across the business, staffing and significantly reduced incentive compensation across all performance programs. We continue to prioritize spending that support sleep innovations demand, fulfillment and efficiency drivers. We have sufficient liquidity to support the ongoing execution of our strategy through these challenging conditions. While softer demand and delivery constraints has pressured cash, we still generated $29 million in cash from operations year-to-date. Despite macro headwinds we ended the second quarter with debt leverage of 3.3 times EBITDAR. We currently have more than $375 million of liquidity available under our credit facility, and expect to generate $50 million to $100 million in cash from operations this year. Our revised EPS guidance of $3 to $4 assumes that current macro headwinds will continue in the back half of the year. Demand is now expected to decline high single to low double digits for the balance of the year with backlog service resulting in 2022 net sales growth of low single digits. Electronic supply is expected to constrain deliveries in Q3 to about 90,000 to 100,000 smart beds, followed by about 15% to 20% more in Q4 with some assumed improved flow of chip supply. This shape of quarterly deliveries includes a much greater backlog service benefit in Q4 than in Q3. Quarterly profits will also be affected by the timing of spending. Those initiatives include driving demand in a resistant consumer environment during the largest selling period of the year, managing the inefficient operational impacts of uneven flow of electronics and deliveries and continuing the development of our newest sleep innovations for introduction later this year and next. These delivery constraints and spending priorities will significantly impact the flow of profits in Q3 and Q4, much like they did in the first half. As a result, we expect about breakeven Q3 earnings followed by profitable Q4. Our spending priorities are structured to support our long-term strategic initiatives and enable us to quickly drive growth as consumer sentiment and electronic supply improve. We remain vigilant and are actively managing all our business levers as we prioritize our customers' experience. We continue to balance near-term risks and opportunities as we improve lives with proven quality sleep solutions. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Bobby Griffin with Raymond James. Your line is open.
Bobby Griffin: Good afternoon, everybody. I appreciate you taking my questions. Dave, I just -- I guess I wanted to circle back and just kind of walk through a little bit of the details you given us for the sake of the year. And I appreciate all that. If we -- so with breakeven 3Q, we've got any more than just profitable to kind of get to the year EPS guidance, if we're looking at, we've earned basically about $1.63 or so far this year and if it's $0 for 3Q, what is -- like what's the flow out or what's the pathway to help that happen? Like, I'm struggling a little bit just to kind of understand the progression here?
David Callen: Right. Thanks, Bobby. Yeah, it's a little unusual, just like it was in the first half of this year where Q1 deliveries of our most profitable smart beds were constrained in Q1 and we didn't make a lot of money in Q1, which is normally seasonally one of our strongest and most profitable quarters. And then followed by Q2, where we delivered those very profitable smart beds and delivered a 9.1% operating profit rate and a 75% increase in our EPS over the prior year. So, we're facing the same kind of constraints in Q3 from the electronics supply that are going to limit our deliveries in Q3. At the same time, we need to spend to generate demand against a little bit of a resistant consumer in our largest consumer selling period of the year. So, those things combined pressure our earnings in Q3 to make us think that it's going to be about breakeven. Then we deliver a lot more in Q4. I said about 15% to 20% more units and we don't have to spend against all of our demand that we just created. It's already been created in Q3, we had spent against it. And so, when you drop through more backlog benefit in Q4, it comes through at a much more profitable rate.
Bobby Griffin: Okay. So, is the right way to look at the 90,000 to 100,000 units that you're targeting here for 3Q, should we look at that as a similar ARU as 1Q at 49,000 and then have 4Q step up materially in ARU?
David Callen: No. That's a little harsh, because Q1 ARU didn't have a normal mix of our overall smart beds. And Q2 also didn’t have the normal mix, because we are catching up on the carry-forward of all those smart beds. I'd say, in the back half in general, Bobby, I would assume ARU growth over the prior year, but a couple of hundred dollars less than what we did in the first half of this year.
Bobby Griffin: Okay. That's helpful. I'll jump -- for now, I'll jump back in the queue. But I appreciate the further details.
David Callen: Thank you very much.
Operator: Your next question comes from Peter Keith with Piper Sandler. Your line is open.
Peter Keith: Hi, thanks. Good afternoon, everyone. I guess the pricing changes you're planning on making was a little bit surprising to me. Are you seeing higher input costs coming through? Or is this just something you think you can take a little extra price to drive some excess profit?
Shelly Ibach: Hi, Peter. Thanks for the question. Yes, we believe in this environment -- in this inflationary environment that it's prudent for us to take the additional pricing. It is around $100 per smart bed with the exception of the C2 and it's appropriate when we look at all the puts and takes. I would say more than the cost input the higher -- the lower efficiency and effectiveness with the uneven flow of supply this year.
David Callen: Peter, I’d add. A little bit of our pricing has been -- our pricing actions to date have been on the conservative side. We've been doing our best to make sure we're simply passing along the cost increases that we've been absorbing and with an eye on not dampening demand. The additional price increase I said is, is an incremental $30 million. So it's about another point. We're still significantly below where others in the industry have gone with their pricing.
Peter Keith: Yeah. Okay. That makes sense. So you've got the Climate360 launching in October, of course, that's been kind of on hold for or quite a while, I guess, over a year. And you have really ramped up your R&D budget in the last 18 months or so. So maybe just looking forward without revealing any of the products, I mean, should we see in 2023 and 2024 some excess or elevated innovation launches coming to market?
Shelly Ibach: Absolutely, Peter. It starts with Climate360 here in the fourth quarter and we've been progressing towards this date for the last year and we're really excited to add this halo to our smart bed assortment. And with the Climate360 at the high end of our line, we also moved to our new platform. And this platform has a reduction, about a 30% reduction in components overall and benefits from more consistent components and also has a lower number of electronic parts and what we expect will be a more available chip. This platform is the beginning of our launches this next year, in 2023 we will transition our full line of smart beds to this new platform. And we're really excited about making that change for both the demand and supply reasons. And with the new 360 that we introduce next year, it's an important milestone to support the diagnostic and connected health benefits that we'll be able to add in the future. And then keep in mind, we're building off millions of connected smart sleepers today, so continuing to broaden the capabilities to be able to reach our existing smart sleepers, as well as new smart sleepers.
Peter Keith: Okay. That's great detail. Thank you very much.
Shelly Ibach: Thank you.
Operator: Your next question comes from Seth Basham with Wedbush. Your line is open.
Seth Basham: Thanks a lot, and good afternoon. If you guys could please give us a bit more color on the shape of demand through the quarter? And when you think about the comparisons, demand wise for the back half of the year, how do you expect year-over-year demand to trends?
Shelly Ibach: Sure. Seth, first of all, we saw a correlation in demand with the change in consumer sentiment, which dropped to record lows in May. So May demand was the most impacted in the quarter with some recovery in June and so far in July as we made adjustments to respond to this different consumer environment.
Seth Basham: And as you think about the back half of the year?
David Callen: So as I said, the -- our guidance assumes a decline of high single digits to low double digits. As we believe, given the current environment, where the consumer is, it's prudent for us to not assume that demand is going to -- or that consumer sentiment is going to increase the balance of the year. So that's how we pegged our expectations for demand.
Seth Basham: Okay, thank you. And then my follow-up is on the financing option with Synchrony. Can you give some more color there, how you revamped that agreement and what you're seeing for a finance rate penetration and the impact on your SG&A rate as a result of it?
David Callen: Yeah. As you know the Fed has, again, today increased the rate and -- federal funds rate and financing is an important element of our offering for our consumer -- for our customers and Synchrony has been a fantastic partner for a number of years, number of decades. And again, we worked together with them over the last number of weeks to extend the contract to 2028. And along with that I wanted to make sure that we had -- we were sharing the load of how we are going to support our consumer as we go through a challenging environment now and then benefit both sides of the equation for a very long time. So we're excited about that continuing partnership and we certainly appreciate the strong partnership that Synchrony has brought to us over the years.
Shelly Ibach: And the penetration?
David Callen: Yeah. Our -- I think Seth, we've shared with you that we use financing and promotion kind of in one total bucket and we change promotions and offers on a regular basis to overall balance those costs. We have not seen any decline in our overall penetration rate of our financing. And in total, I think it was about 50% of our sales last year. And that's about normal.
Seth Basham: Got it. And just lastly, following up on that point, when you look at that basket of financing in dollar off promotions, how did they trend in the second quarter year-over-year? And how are you thinking about them for the back half of the year?
Shelly Ibach: Seth, I'll speak to the overall in the quarter. We learned a lot, we iterated and this is really one of the benefits of the vertically integrated business model as consumer sentiment dramatically changed. We started at a rating, is financing attractive, is dollars off, is it a combination of bundles offers at the low end, high-end and we have quite a few conclusions from everything we've been rapidly testing over the last six weeks, and look forward to applying those learnings here in the third quarter. I won't be real specific with our findings, but they were pretty clear. And I would also say they change with the consumer sentiment environment. So this isn't something you learn and then you stay steady on. We need to continue to learn in advance that and it's clearly a benefit of ours to be able to pivot quickly. But I would say, we saw periods since the onset of the war where financing was an important and we also saw periods where it was important, all within just the last couple of months. That's a lot of rapid change and way more than we normally would have in the business. Clearly a value, whether it's at the low or high end breaks through to the consumer. As I talked about in my remarks, there are a lot of intenders in the marketplace. It's not that it's --are they really ready to buy now, that's what has narrowed so much. So when you have an extraordinary value, it works.
Seth Basham: Okay. Thank you so much.
Operator: Your next question comes from Bradley Thomas with KeyBanc Capital Markets. Your line is open.
Bradley Thomas: Hi, good afternoon. I have couple of follow up questions here I could. Just as I'm modeling the shape of the back half. If I go through the implications from, I think, your unit commentary, it looks like your 3Q sales may be down somewhere in the 15% to 20% range? Does that math seem right to you all?
David Callen: I’m just checking myself on -- yeah, I think that's directionally fine.
Bradley Thomas: Okay. Thanks. And David, as you think about the backlog and working it down, it sounds like the -- within the guidance is an expectation of the supply getting a bit better of some of these products that have been in short supply and so perhaps you're at a more normal backlog for the company at year-end. Do you have a rough estimate for us for how to think about what the impact for sales for this year and profits is for this year from servicing the backlog, just as we try to model out to next year and come off that?
David Callen: Yeah. It's a great question and one that we are wrestling with ourselves. You know, Brad, that in any given year there are headwinds and there are tailwinds and we navigate through the course of the year. We have a lot of year left to do that with. In total, I've already highlighted that we started the year with about $150 million worth of net sales equivalent excess backlog. That would be a place I would start in terms of thinking about that particular line. However, that is dependent on the timing and the amount of both demand and supply. And so, we may or may not benefit that much. Let's say, we have excess demand during the back half more than we think. It's possible that we don't get the full benefit of all of that carry forward excess backlog and we carry more into next year. So from a modeling perspective, I'd say, maybe you start with that number, but then you also have to strip out a lot of the one-off costs that we've been burdened with this year in terms of this inefficient electronics supply flow that has put a significant burden on us, while our Q2 gross margin rate was up 190 basis points sequentially from Q1, our year-to-date gross margin rate at 58.3% is still down 330 basis points versus the prior year. That $160 million worth of annualized cost increases that we're absorbing, some of that's going to come out next year as supply chains stabilize. We think that's going to happen starting in 2023. But there are number of factors we're going to have to work our way through. And we will keep you updated on our progress as we get through this year and we'll certainly give you a lot of color on the Q4 earnings call about how we're thinking about 2023.
Bradley Thomas: Great. Thanks for all the details.
Operator: [Operator Instructions] Our next question comes from a tool Maheswari with UBS. Your line is open.
Atul Maheswari: Thanks for taking my question. Hello, can you hear me?
David Callen: Yes.
Atul Maheswari: Okay. Thanks a lot for taking my questions. So it sounds like for the fourth quarter, you're banking on -- assuming demand plays out the way we expect it to be, you're banking on fulfilling the backlog or at least a portion of the backlog. What is the risk that there could be elevated order cancellations, especially given this challenged macro backdrop?
David Callen: Well, we monitor that really carefully, especially given the challenges with the electronics flow. And we haven't seen a, what I would call, a material change to how consumers are acting. We did see in conjunction with the consumer sentiment drop in Q2, during the middle of Q2 a correlation with a bit of an increase in cancellations during that time period, but it's also not material to the overall business. And so, we are watch it carefully, we're seeing fairly steady performance in both our returns rate and our cancel rates, but we'll continue to monitor that and keep you updated.
Shelly Ibach: And our delivery window, Atul, is four weeks to six weeks for a smart bed.
Atul Maheswari: Okay. Got it. As my follow-up, and granted the environment is very uncertain, but there have been a couple of quarters of lowered guidance. The question is, how conservative is this guidance? And how much confidence do you have that you will not miss this new range.
Atul Maheswari: And how much confidence in what?
David Callen: In the new range.
Shelly Ibach: In the new range. Okay. Sorry, I didn't hear the very end of it. As you know, as we look at the back half, we've taken on board the significant change in consumer sentiment, and that's reflected in our back half. Assuming that that sentiment stays approximately where it is. And we've also assumed that we will benefit from the allocation and flow the electronic parts that we have in our sight line today, which will support -- to support the planned deliveries. So those are two probably important significant assumptions as we think about it. So a change in consumer sentiment, we would put -- if consumer sentiment improves, we would expect to benefit from that change in the environment, but we're -- we think it's prudent to not assume that as we head into the back half.
Atul Maheswari: Got it. That's super helpful. If I can, please ask one more. I think you mentioned a couple of times about supply normalizing next year. Is that more of a hope that it improves or do you have visibility to supply normalizing next year? And then importantly supply chain were to fully normalize, how much of a lost margin that you're seeing this year? How much of that would you get back, if you can provide some quantification?
Shelly Ibach : Sure. Thanks for the question, Atul. As we look at the flow of supply, our challenge has been in electronic parts, specifically mostly the semiconductor chips. And as I stated when we move to the new platform, Climate360 and then transition our full line of next year to the new platform, we have line site and we expect increased availability of the new semiconductor chip. And it's a newer and more available chip and we also are utilizing less electronic parts and more common parts as we move forward. So that's part of the design overall and what we've been working towards. And we're doing everything we can to move up that implementation to our new platform.
David Callen: I'd add. We had originally expected to have some gross margin rate improvement yet this year, but we've continued to see electronics disruption. Now those disruptions have been fewer and more scattered, but they are still impactful. We -- our line of sight – our partnership with the electronic suppliers who are three layers deep in our supply chain has been stronger than it was a year ago. And I think that's going to continue to improve, as Shelly highlighted, especially as we move to the newer technology. And so I would say, I don't know, originally I think we were talking about by Q4 this year we'd be approaching maybe 59 to 60 basis -- percentage points of gross margin rate. I think that is directionally feasible in the first half of ’23. But look, I'm providing you my thoughts without being closer to the year than what we would normally be. So we're certainly expecting to have gross margin rate improvements next year, we're finding ways to be more efficient, we will certainly benefit from the new innovations, all those things will be part of how we drive both gross margin rate and profit growth next year.
Atul Maheswari: Got it. That's all super helpful. Thank you for that. And good luck with the rest of the year.
Shelly Ibach: Thank you.
Operator: We have reached the end of the question-and answer-session. I will turn the call back over to the company for closing remarks.
David Schwantes: Thank you for joining us today. We look forward to discussing our third quarter 2022 performance with you in October. Sleep well and dream big.
Operator: This concludes today's conference call. You may now disconnect.